Operator: Thank you for standing by and welcome to the Harley-Davidson 2023 Second Quarter Investor and Analyst Conference Call. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to Shawn Collins. Thank you. Please go ahead.
Shawn Collins: Thank you. Good morning. This is Shawn Collins, the Director of Investor Relations at Harley-Davidson. You can access the slides supporting today’s call on the Internet at the Harley-Davidson Investor Relations website. As you might expect, our comments will include forward-looking statements that are subject to business risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted in our latest filings with the SEC. With that, joining me this morning for the first part of the call are Harley-Davidson Chief Executive Officer, Jochen Zeitz; also Chief Financial Officer, Jonathan Root; and we also have LiveWire CEO, Karim Donnez. In addition, for the Q&A portion of today’s call, Harley-Davidson Chief Commercial Officer, Edel O’Sullivan will be joining us as she usually does. With that, let me turn it over to our CEO, Jochen Zeitz. Jochen?
Jochen Zeitz: Thank you, Shawn. Good morning everyone and thank you for joining us today. Our Q2 results showed progress on the delivery of our Hardwire strategy despite a difficult macro environment and the unexpected production suspension impacting the business. Revenues were down 2% in the second quarter, driven by a revenue decline of 4% at HDMC, which was partially offset by revenue growth of 19% at HDFS. Despite the challenges, we saw global new motorcycle retail growth of 3%, with North America up 1% versus prior year and solid international growth, especially in APAC, where we delivered a 24% increase in retail sales versus prior year. Before we turn to our delivery against our Hardwire pillars, there are three points I'd like to make about our performance for the quarter. Firstly, we remain focused on growing our most profitable categories versus just growing total units. In addition to the impact of the unplanned production suspension, Q2 total units have been impacted by portfolio choices in line with our strategy, including the shift of our second CVO launch to later in the year and most notably with the sunset of the Sportster in North America. While we intend to continue to participate in the small cruiser segment, leveraging both used and our RevMax platform, our priority is to grow profitably in our leading segments. And while we expect RevMax to grow over time as customers become familiar with the new engine, we will continue to make choices consistent with our strategy, namely, defending profit over retail units. Secondly, across our main geographies, we've seen clear impacts on customer demand and affordability, with rising interest rates giving force to high-credit customers, in addition to higher monthly payment challenges across the board. We've also seen the impact of inflation on discretionary purchases. We continue to work through all the challenges with a diligent focus on our most profitable categories and prudent investments in demand generation. On this note, we're investing in supporting a message of affordability, but protecting profitability by focusing on our core categories. We continue to work with our dealers to design programs that drive traffic and help our more slowing customers with trade-ins and rates. Third, we remain committed to desirability as we manage the dynamics of the year. We continue to monitor inventory levels in the channel, as well as MSRP price realization, while managing production and inventory mix to protect the long-term health of the business. Undoubtedly, the production suspension late in the quarter created some unexpected challenges to that balance. An uneven production ramp-up based on parts availability and the high popularity of some models has led to uneven mix in the channel and units that are delayed versus our original estimates. However, we plan to work to correct the situation in the second half of the year. Our focus on desirability, managing mix and prioritizing profitable growth of overall unit growth has driven an improvement in our HDMC gross margin to 34.8% this quarter. Now, I'll highlight select pillars of the Hardwire, starting with pillar one, profit focus. Our performance in the first half of the year continues to be aligned to our Hardwire strategic pillar profit focus, with strong mix and growth in our most profitable categories, with Touring and Trike up 10%; and Cruiser up almost 22%, with these categories now representing 85% of the total volume versus 76% in the first half of 2022. Building on our commitment to strengthen and grow our leadership in our stronghold motorcycle segments, namely Touring, Large Cruiser, and Trike, in April, we introduced the new CVO motorcycles, the CVO Street Glide and CVO Road Glide, with the motorcycles formally launching in June and first test rides being conducted as planned during our 120th Homecoming Anniversary in Milwaukee. By rethinking these two models from the ground up, we've advanced every aspect of the Grand American Touring motorcycling experience. These models set a new standard for Harley-Davidson's performance, technology, and style, accelerating the evolution of the world's most desirable motorcycle brand. The global launch was met with a strong response from our customers, with over 40% of the volume already pre-booked before the motorcycles arrived in US dealerships. Also aligned to profit focus, building on our commitment to introduce a series of motorcycles that align with our strategy to increase desirability and to drive the legacy of Harley-Davidson, in May, we introduced the latest from our Enthusiast and Icons collections. The 2023 addition to the Enthusiast collection was the Fast Johnnie, a celebration of muscle car culture and its racing heritage, featuring factory-direct custom paint and graphic treatments across the three Harley-Davidson models; the Low Rider ST, the Street Glide ST, and the Road Glide ST. For the third installment of the Icons Motorcycle Collection program, we launched the Electra Glide Highway King, inspired by the 1968 FLH Electra Glide model. We've seen a strong customer reception to both collections, with most selling out ahead of delivery. Pillar two, selective expansion. The company continues to selectively focus on opportunities in segments that we believe have a path to in-market success and profitability, capitalizing on our brand strength, product capabilities, and selectively complemented with partnerships. Building on the launch of the HDX 350 and 500 in APAC early in the year, in July, we successfully launched the X440 in India. The launch marked the start of a new chapter in India for Harley-Davidson and the first product as part of our partnership with Hero MotoCorp, which began in 2020. We've been extremely pleased with the reception that the X440 has received since launch, with preorders exceeding initial expectations from launch.  Pillar five, customer experience. The Hardwire puts customers at the forefront of Harley-Davidson's products, experiences and investments and defines customers as people who may dream of motorcycling or just learning to ride, all the way to riders who are deeply passionate about and invested in the Harley-Davidson lifestyle. With that in mind, following our successful introduction of our pre-owned marketplace in 2021, we've now expanded with new capabilities to search and configure new motorcycles online. Additionally, we introduced HD Membership in June, a new industry-leading community platform and membership program designed to enable all motorcycle riders, motor culture, and Harley-Davidson fans to connect, engage, and ride with one another while personalized benefits, rewards, and experiences. First level, Harley-Davidson Membership is free to join, offering multiple ways for members to tailor their experiences, engage with the Harley-Davidson community, and earn rewards. Members who look to further enhance their experience and benefit package may elect to add the Access Pass for riders and non-riders, with exclusive access to key brand events and content as well as benefits such as enhanced rewards and partner benefits. Another option for riders of any motorcycle is the Rider Pass, which includes tools, content, and benefits such as roadside assistance, motorcycle service benefits and partner benefits to enhance the riding experience. And lastly, our Harley Owners Group received several key enhanced program benefits. Since launch, over 125,000 Harley-Davidson membership profiles have been created, with majority being new members not previously Harley Owners Group-affiliated. We've also increased our hub renewal rates since the launch of HD Membership. We're excited for what this capability will bring in terms of building and activating ridership. In 2022, we announced the launch of our Project Q program, an initiative to redefine the Harley-Davidson customer experience, leading with footprint transformation to provide a much-needed redesign of our dealerships. In Q2, we launched our first updated dealership in North America as part of the program designed to transform the in-person customer experience in addition to providing enhanced omnichannel purchase capability for new bikes and parts and accessories. In the coming quarters, we will start a steady cadence of updated dealerships coming online with the expectation that the full network domestically and internationally will be updated over the 10-year cycle. Before I hand it over to Karim, our new LiveWire CEO, I wanted to share my conviction in our strategy. As we evaluate the first half of the year, it's clear that despite the challenging macroeconomic environment for the business and our customers, we're making progress in our core Hardwire objectives. We're proud of several standout launches this year, including our Road Glide 3 breakout anniversary models, but more significantly, our transformational CVOs, delivering on our Hardwire promise of innovation as part of our focus on core categories. We're also proud of the ongoing success of our Large Cruiser category, with one specific example being the Low Rider ST, which is resonating with the younger riders, showing a new path forward in the categories we proudly lead. Hero MotoCorp and QJ are solid examples of innovative participation models in geographies that matter as part of our selective expansion strategy. Overall, we have been pleased by the reception, with orders exceeding expectations from launch. Importantly, these partnerships not only increase ridership, but bring new riders directly to the Harley-Davidson brand. In the first half, both Parts and Accessories and Apparel and Licensing together continue to grow as complementary offerings to our motorcycle product, underscoring our growth beyond bike focus. With our dedication to optimizing the customer experience, in addition to our fuel program, we are transforming our omnichannel capabilities and the pre and post-purchase journey. We continue to invest in improving our allocation and distribution model, which will improve our efficiency in the future. The Hardwire is underpinned by our key strategic principles of profitability and desirability. 2023 is a year where we continue to demonstrate our commitment to both by driving the most profitable segments of the market where we command share and by prioritizing the long-term health of the business. These principles remain the foundation to what we intend to deliver with the remainder of Hardwire. We will continue to adjust according to the macroeconomic realities that we expect to play out through the change in the business environment. However, we remain committed to our six-pillar Hardwire strategy. Thank you. And with that, I'll hand it over to Karim to talk LiveWire.
Karim Donnez: Thank you, Jochen. Good morning everyone. I'm happy to be with you to talk about LiveWire. Thanks to the investments already made and the continued support from our shareholders, I believe LiveWire is poised to have a massive impact into the electrification of the industry. As we report on the second quarter of 2023, LiveWire is moving the S2 Del Mar into production and launching the brand in Europe. The Del Mar is the first bike on the ST platform, with the core EV systems and software developed from the ground up by the LiveWire engineering team. We've seen strong customer insurance in the new design and the advanced technology offered by the bike that we've been working on for the past five years. The price point of just above $15,000 makes the LiveWire brand more accessible to a broader segment of riders. We believe anticipation for the Del Mar contributed to lower year-on-year volumes of LiveWire ONE as riders waited to learn more about our latest entry. We're happy to report that we've been building powertrains in Wisconsin over the past few weeks and the first bikes have been assembled on Line 3 in North Pennsylvania just this week. We look forward to ramping up production throughout August and getting early customers on the road. Over the next two years, we expect the ST platform to expand, continuing to build on our momentum. With LiveWire ONE now available in Europe, Del Mar will soon follow. Our retail partners are up and running in our four priority countries following the launch of the brand in the second quarter, with successful events in Paris, Berlin, London, and Amsterdam. We look forward to the region becoming a critical piece of the LiveWire growth. Our investment and associated expenses were in line with our plan for the quarter. We believe the business is currently well-financed for the next stages of our development, with $260 million in cash and cash equivalents at the end of the quarter and the option to access $200 million under a nonbinding term sheet with Harley-Davidson. And now, I'll hand it over to Jonathan.
Jonathan Root: Thank you and good morning everyone. The second quarter of 2023 is the third quarter under our new reporting structure with the three business segments of HDMC, HDFS, and LiveWire. In Q2, we experienced the impact of an unplanned production suspension at our US manufacturing operations, where global wholesale shipments decreased by 10% year-over-year. Yet global pricing was able to partially offset unit declines, allowing us to turn in a strong margin performance as unit mix and productivity are key areas of focus. In addition, we continue to invest into building core competencies in our Hardwire pillars. Turning to our financial results in the second quarter. Total consolidated HDI revenue of $1.4 billion was down 2% compared to last year. The components of this were, at HDMC, revenue declined by 4%. At Harley-Davidson Financial Services, revenue grew by 19%, and at LiveWire, revenue declined by 44%. Total consolidated HDI operating income was $221 million, which was $56 million lower than the prior year. The components of this were, at HDMC, operating income of $194 million was 8% lower than the prior year; at Harley-Davidson Financial Services, operating income of $59 million declined by 31% on a year-over-year basis; and at LiveWire, an operating loss of $32 million was in line with our expectations. Second quarter earnings per share of $1.22 compares to $1.46 last year as a result of the factors mentioned above. As we flip the page to first half results, total consolidated HDI revenue of $3.2 billion was up 9% compared to last year. The components of this were, at HDMC, revenue increased by 8%; at Harley-Davidson Financial Services, revenue grew by 17%; and at LiveWire, revenue declined by 35%. Total consolidated HDI operating income was $591 million, which was $24 million higher than the prior year. The components of this were, at HDMC, operating income of $530 million was 23% higher than prior year, reflecting a strong operating margin of 19.2% in the first half of the year. At Harley-Davidson Financial Services, operating income of $117 million declined by 32% in the first half of the year. And at LiveWire, an operating loss of $57 million was in line with our expectations. Year-to-date earnings per share of $3.27 compares to $2.91 last year, or up 12% versus the first half of 2022 as a result of the factors noted above, as well as consistent share buybacks throughout the first half of 2023. As Jochen mentioned earlier, global retail sales of new motorcycles were up 3% versus the prior year. In North America, Q2 retail sales grew by 1%, driven by strength in core categories, such as Touring and Cruiser motorcycles, which were up 7% in Q2. This was offset by declines in the Sport motorcycle category following the discontinuation of our legacy Sportster models at the end of 2022, resulting in less units in the market than the year before. In Asia-Pacific, Q2 retail sales grew by 24% as we continued to experience strong demand across a variety of markets. In EMEA, Q2 retail sales declined by 6%, driven by the planned unit mix shift towards profitable core product segments. Core categories were up 7% in the EMEA region in Q2 and overall profitability continued to improve. In Latin America, Q2 retail sales grew by 4%, driven by growth in Brazil that was partially offset by weakness in Mexico. Higher production in the second half of 2022 and in the first half of 2023 has allowed us to improve product availability at our dealer network over the last 12 months. On a year-over-year basis, average inventory in Q2 was up by more than 90% to healthier levels compared to the exceptionally tight level of 2022. Dealer inventory continues to be materially down versus 2019. From a retail pricing standpoint, US new motorcycle transaction prices finished within our desirability threshold of plus or minus two percentage points of MSRP. At the HDMC segment, revenue declined by 4%, primarily due to the production suspension at our US manufacturing operations that occurred primarily in Q2. Looking at the HDMC revenue bridge and focusing on the key drivers for the quarter, 10 points of decline came from decreased volume at HDMC. This was driven by the 10% decrease in wholesale motorcycle unit shipments mentioned previously. Four points of growth came from pricing through both global MSRP increases and pricing across the Parts and Accessories and Apparel businesses. Mix contributed two points of growth as we continue to prioritize our most profitable models and markets. And finally, one point of negative impact came from foreign exchange. At HDMC, operating income of $194 million in Q2 was 8% lower than prior year, driven by lower wholesale shipments and higher operating expenses. As a reminder, our commentary is now based on the updated definition of HDMC, which excludes LiveWire. Let's look more closely at HDMC margins. HDMC gross margin in Q2 was 34.8%, which compares to 30.9% in the prior year. The improvement of four points or 400 basis points was driven by pricing, cost productivity, and unit mix, more than offsetting the negative impacts from reduced volume and foreign exchange. We experienced more modest cost inflation, which was approximately 1% in Q2. On a year-over-year basis, the deceleration continued to be largely driven by logistics, including lower expedited shipping expenses and ocean freight rates. Raw materials and metal markets have also continued to moderate. HDMC operating margin came in at 16.2% in Q2 from 16.8% in the prior year. The decrease was due to higher operating expense, including higher people costs and marketing spend as planned. For the first half of the year at HDMC, operating income of $530 million is a 23% increase compared to prior year. HDMC operating margin of 19.2% through the first half is 2.4 points higher than prior year. The increase is due to pricing, productivity and favorable mix more than offsetting FX and higher operating expenses. At Harley-Davidson Financial Services, revenue increased by 19%, driven by higher finance receivables, higher interest income, and increased investment income. HDFS operating income in Q2 was $59 million, down 31% compared to last year. The Q2 decline was driven by higher borrowing costs as well as higher provision for credit losses due to an increase in credit reserves and realized credit losses. In Q2, HDFS' annualized retail credit loss ratio came in at 2.6%, which is down from 3.2% in Q1 of this year. During the quarter, losses followed the typical seasonality curve, with performance in line with expectations. These levels compare to an annualized loss of 1.9% in fiscal 2022. The increase in credit losses was driven by several factors relating to the current macroeconomic environment. In addition, the allowance for credit losses for the second quarter increased to 5.3%, up from 5.1% in Q1, which is the level it had been during fiscal 2022. Total retail loan originations in Q2 were down 14%, while commercial lending receivables were up 54% to $936 million behind stronger product availability compared to prior year. Total quarter end net financing receivables, including both retail loans and commercial lending receivables, was $7.5 billion, which was up 6% versus prior year. Total interest expense in Q2 was up $38 million or up 80% versus prior year. The increase was driven by a higher cost of funding, as lower interest rate debt matured and was replaced with current market-rate debt. During the first half of 2023, we raised approximately $2 billion in the capital markets and at the end of Q2, cash and committed bank and conduit facilities resulted in an HDFS liquidity position of $2.4 billion. We believe this has put HDFS in a very strong position from both a funding and liquidity perspective. For the LiveWire segment, second quarter revenue decreased from $13 million to $7 million due to lower unit sales of both electric motorcycles and the electric balance bikes. LiveWire operating loss of $32 million was, as Karim highlighted, in line with expectations and was driven by product development spending associated with the launch of the Del Mar electric motorcycle. Wrapping up with Harley-Davidson and financial results. In the first half of 2023, we delivered $411 million of operating cash flow, which was up from $244 million in the prior year. The increase in operating cash flow was due primarily to less new working capital needs in the first half of 2023 versus the first half of 2022. Total cash and cash equivalents ended at $1.5 billion, which was $672 million lower than at the end of Q2 prior year. This consolidated cash number includes $216 million from LiveWire. Additionally, during the first half of 2023, as part of our capital allocation strategy, we bought back 4.1 million shares of our stock at a value of $156 million. As we look to the rest of 2023 based on our results to date and our business outlook, we are revising our HDMC guidance and the LiveWire segment unit sales guidance, while we are reaffirming our HDFS, LiveWire operating income, and HDI CapEx guidance. At HDMC, we now expect HDMC revenue growth of flat to plus 3%. This revised forecast is in line with our overall strategy and addresses the impacts caused by the production suspension at our US manufacturing operations. HDMC operating income margin of 13.9% to 14.3%. We continue to believe the anticipated positive impact from pricing and our cost productivity efforts within the supply chain will offset expected cost inflation and currency headwinds. At LiveWire, we now expect unit sales of 600 to 1,000. This reflects the updated Del Mar motorcycle go-to-market timing. At LiveWire, we continue to expect an operating loss range of $115 million to $125 million. As we look to the rest of 2023, we are reaffirming our full year guidance for HDFS and HDI CapEx guidance. At HDFS, we continue to expect HDFS operating income to decline by 20% to 25%. In Q2, we experienced lower realized credit losses than in Q1, as seasonality played out as we had expected. We continue to stay focused on several actions underway to effectively manage the business in today's credit environment, including increased investments behind collections and stronger repossession efforts. And we continue to build other revenue sources, including licensing revenue and insurance revenue, which was up more than 30% in the first half of 2023. And lastly, for total HDI, we continue to expect capital investments of $225 million to $250 million as we continue to invest behind product development and capability enhancements. Through the first half of the year, we have seen cost inflation generally in line with our expectations and continue to expect in aggregate about two points of inflation for the full year 2023 compared to 4% in 2022. Labor and warehousing costs continue to be the primary drivers of inflation, with deflation and moderation expected within logistics, freight and raw materials. We now expect $100 million in cost productivity in 2023, taking into account the adjustments in volume and updated production environment. For HDFS, we expect the operating income declines to moderate in the second half of the year as we begin to lap the interest rate increases that took effect in 2022. As we look at capital allocation for the remainder of 2023, our priorities remain to fund growth of the Hardwire initiatives, which includes the capital expenditures mentioned previously; paying dividends; and executing discretionary share repurchases. In summary, we are pleased with the resiliency of our financial results through the first half of the year, especially our margin performance, despite a complex retail environment. And with that, I'll turn it back to the operator to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Craig Kennison from Baird. Please go ahead. Your line is open.
Craig Kennison: Hey, good morning. Thanks for taking my question. I imagine there will be plenty of focus on the US market, but I'm curious about the strategy in India, where the demographic story looks much different. Can you frame the market size and opportunity and the economics of your licensing arrangement with Hero?
Jochen Zeitz: Yes, Craig, thank you. As you know, we exited India, which was a subsidiary, which was serviced also through a manufacturing facility that we had in India in 2020. And we entered into a license agreement with Hero Motor Company. So that's the first important point. It's a license agreement with our partner that essentially provides us license income at the time when those bikes are being shipped into the market with minimum quantities that we've agreed per contract. So those bikes will not hit our P&L. And they are also our wholesaler, as distributor for our big bikes, 600 cc-plus. Now, I look at India as a long-term opportunity. There is huge -- it's a huge market overall, but the premium, premium segment that Harley-Davidson is operating in is relatively small, as we've seen based on our own experience in the past. That said, there is a premium segment that we are now entering into with our partner, Hero. And that is anywhere around -- in terms of price points, certainly a lot lower than our traditional Harley-Davidson price points, but premium in the Indian market. We believe that this is a great entry for 440, which was -- is competitively priced by Hero and has really led to a lot of enthusiasm in the market, if you look at -- and search it. There's lots of reporting and interest, and our partner overall is extremely happy with the results achieved so far. So -- and to date, there has really only been 1 competitor in the market that has essentially had a monopoly, and that we are trying to break into, providing an alternative with a strong international brand name, the strongest brand and base in the world of motorcycling, Harley-Davidson. But coupled with the distribution network that complements our Harley-Davidson distribution and dealerships, and therefore, should provide a pretty broad opportunity in terms of units that we're able to sell. I'll have to leave it at that, because it's really Hero's that's communicating in India. I'm sure they will be reporting on the preorders that we've received so far since we launched not even four weeks ago. But overall, very pleased with the reception since the launch that I also participated in while being in India.
Operator: Our next question comes from Robby Ohmes from Bank of America. Please go ahead. Your line is open.
Robby Ohmes: Hey, good morning. My question is going to be on the U.S. trends. So I was hoping we could get maybe some color on retail trends through the second quarter and into July. And then also just on the dealer inventory levels, how are U.S. dealer inventory levels versus your expectations right now? And maybe also global dealer inventory levels? And maybe the -- sorry, I'm throwing three in here. And then any color we can get on just the back half motorcycle revenue declines, what the U.S. shipment cadence should be that we expect, maybe for the back half? And does the timing of the new CVO shipments have a meaningful impact on what shipments might look like in the U.S. in the back half?
Jochen Zeitz: Yes. Let me just start with the question about what we are seeing in July. As in Q1, I would really prefer not to comment on the next quarter. We're not even a full month in. And as we know, there are swings from month to month. So I'll keep it now and in the future and just comment on the past quarter, rather than commenting on trends early on in the quarter. And then Edel, do you want to take the rest?
Edel O’Sullivan: Yes, of course. Thank you, Robbie, for the question. Let me start by the trends that we saw in Q2, specifically in North America retail. As Jochen alluded to in his commentary, this continues to be a year that is challenging for customers in terms of inflation, rates, the overall affordability, and that certainly was a prevalent trend in Q2 as well. We also had the impact of the production suspension that -- even though it was late in the quarter, there were specific bikes that we were expecting and that our customers were expecting that were disrupted, and this certainly had an impact upon our overall retail performance in the back half of June. That said, I think we're very pleased with the overall progress on the trajectory of our core stronghold categories, both in the U.S. and internationally, we saw growth in our core Touring, Trike soft tail categories. We are also very pleased with the reception of the CVOs, which, as you alluded to in the third part of your question, we will see come into full force in the back half of the year. These are already shipping and are already arriving in our dealerships in North America. So overall, we continue to be focused on our pillars of desirability and profitability. We are managing and monitoring inventory very closely as it comes back online post the production suspension to make sure we are prioritizing the right units, that we are ensuring that we have the tools in place to smooth out some of the lumpiness, as you can imagine, is resulting in the network, given that production suspension. We don't have all the bikes that we want, and we don't have all the bikes in the right place, as we're working with our dealers to adjust that, and we'll continue to do so in the back half of the year. But overall, our intention -- to your point around shipping and managing dealer inventory -- is to ensure that we are at healthy levels of inventory. We want to protect 2024. We want to make sure that we are managing a cadence of supply that is in line with those overall objectives, and we will continue to do so as we have in the front half of the year, in the back half of the year.
Operator: Our next question comes from Fred Wightman from Wolfe Research. Please go ahead. Your line is open.
Fred Wightman: Hey guys. Just one follow-up and then a separate question. I know, Jochen, in the past, you talked about full year retail being flat to slightly positive. Wondering if that's still the case? And then the second question, can you just give an update as far as the revenue build that's in that flat to plus 3%? How you sort of see units mix and price shaking out for the full year? Thanks.
Jochen Zeitz: Yeah, I'll let Jonathan take the second question. Overall, it really depends on how the third quarter turns out. And that has very much a reflection of our ability to ship the right bikes to the right dealerships. And yes, as Edel just alluded to, that disruption of our production facility has sort of led to a bit of an imbalance that we need to sort out and are sorting out every day. And -- but to really comment on retail trends at this point is, I think, not advisable. Yeah, so I'd like to leave it at that.
Jonathan Root: Okay. And then -- thank you, Fred. So a little more information in terms of what we're looking at from a guidance perspective. So as you touched on revenue growth of flat to 3%, our revised forecast includes wholesale unit decreases of around 1% to 3%. And then obviously, as we look, we continue to expect one to two points of mix as we focus on our profitable core business, and also one to two points of pricing as we offset a little bit of a more moderated inflationary outlook. The other piece that I'll touch on is as we look at the P&A and A&L business, we do see those businesses continuing to grow year-over-year.
Operator: Our next question comes from Joe Altobello from Raymond James. Please go ahead. Your line is open.
Joe Altobello: Thanks. Hey guys, good morning. I guess, first, could you quantify the impact that the shutdown had on shipments and retail in the quarter, maybe how much of the decline – or the impact on retail from the discontinuation of Sportster?
Edel O’Sullivan: Thank you, Joe. Well, difficult to pinpoint with precision. As you can imagine, for those bikes that we had named, and last names for customers of those that were in highest demand like our anniversary models. It is an easier task to identify the impact of the production suspension. But overall, we know that it has led to some imbalance in the network in terms of where the inventory is difficult to pinpoint exactly for the broad assortment, but certainly one that we feel was a factor in the back half of June. And we continue, as Jochen mentioned, to work through how and what we bring back and what order and what priority to ensure that we have the right levels of inventory and that we are supporting retail growth in the back half of the year.
Operator: Our next question comes from James Hardiman from Citi. Please go ahead. Your line is open.
James Hardiman: Hi. Thanks for taking my call. I wanted to dig in to maybe that last point. You talked about the right level of inventory. Can you help us figure out what that right level of inventory is, whether it's sort of total units or weeks on hand to finish the year. Obviously, you pointed out that inventory levels are down pretty substantially versus in 2019, but -- so is retail relative to 2019 by a pretty similar amount. And I think the way that you had previously contextualize this was that you were way too high as we think about 2019 in terms of weeks on hand. So maybe any incremental color on how to think about where you finish the year. I can appreciate that it's difficult, not really knowing where retail is going to shake out. But presumably, if retail is down, inventories would need to be down more, sort of, situation. So help us walk through that.
Edel O’Sullivan: Yeah. Thank you for the question. You're right. We look at it through three different lenses. We look at total number of units, we look at days of coverage, and we look at it relative to historical trends as well as actual sales. Our estimations will indicate that we are, in fact, much lower in terms of inventory than in the decline in sales versus 2019. And this is very much in line with our strategy of being more prudent with our inventory and making sure that we are protecting desirability. We intend to continue to manage that balance towards the end of the year. The inventory levels overall fluctuate throughout the year. Of course, we want to have higher levels to support the riding season. But we continue to monitor that through those three lenses, total number of units as well as the days of coverage looking forward into 2024 as well as where we are versus historical levels. As you indicate, that will be a balance that we will continue to manage through Q3 and into Q4. We intend to make sure that we are managing the production return to that desirability. But it is certainly something where we believe and intend to continue to remain on strategy in terms of a much lighter inventory load, even accounting for declining sales versus 2019.
Operator: Our next question comes from Tristan Thomas Martin from BMO Capital Markets. Please go ahead. Your line is open.
Tristan Thomas Martin: Good morning. I just had a question on promos. You introduced some promos in the quarter, the rate buy-downs, the zero money down and some of the trading credits. Is that kind of what we should expect moving forward? And then also what levers do you have to pull if let's say, you want to use retail demand a little bit? Thanks.
Edel O'sullivan: Thank you. As you indicate, our main priority in Q2 was around two aspects. The first is driving traffic to our dealers. So aside from promotional spend, we certainly ramped up our overall marketing investment and generating leads and generating traffic to dealers. That's the first component, and we intend to continue to maintain those activities. Things like our open houses that we have held a couple throughout the second quarter were extremely successful and we think very well received by both customers as well as dealers. The second are the promotional aspects that you indicate. Our focus is really around the topic of affordability. We have been looking both at promotional rates in conjunction with our dealers as well as trade-in and trade-off promos that allow us to address some of the challenges that our most loyal customers have as they think through an upgrade cycle in the year of 2023, given dynamics with interest rates. We intend to continue to look at those levers in the back half of the year, all within the broader framework of managing desirability. We want to make sure that we remain in healthy levels, but also need to address some of those imbalances in production and inventory as we look towards the back half of 2023.
Operator: Our next question comes from Noah Zatzkin from KeyBanc Capital Markets. Please go ahead. Your line is open.
Noah Zatzkin: Hi, thanks for taking my question. Just one for me on the unchanged HDFS guide. Obviously, year-over-year, the first half kind of tracking below full year guidance. So just wondering if you could provide some color on kind of the puts and takes we should be thinking about in terms of the second half improvement there. Thanks.
Jonathan Root: Okay. Thanks, Noah. So as we look at the HDFS guidance and kind of leaving that unchanged throughout the year, we obviously track what we see from an overall delinquency and loss perspective. And as we look at that through the quarters, we're gaining confidence in terms of that being contemplated in terms of where we are from an overall guidance standpoint. Part of what allows us to feel comfortable as we look at some of the -- are some of the changes that we've made from a servicing activity standpoint. So through what we're doing in terms of engaging with consumers who are late, engaging better technology in the way that we do that from a test perspective, as well as e-mail integration. We've also introduced artificial intelligence into the way that we monitor our call activity to ensure that our agents are actually engaging with consumers in a kind of a path that we enjoy. We also have seen within the HDFS business some nice engagement and improvement in the revenue side of the equation. So we've been engaged in taking rate where we can, following the Fed actions. And then in addition, we are seeing some improved revenue from the commercial lending side of the business. And then lastly, we also see growth in fee income products associated with things like Visa protection products, insurance and much of our approach in international.
Operator: Our next question comes from David MacGregor from Longbow Research. Please go ahead. Your line is open.
David MacGregor: Yes. Good morning, everyone. I had a question on the Riders' Academy. And just specifically on conversion rates. And just -- I wonder if you could just talk about how there's the number of Rider Academy graduates that -- graduates that buy a bike compared with what you were seeing a year ago. And of those who do buy a bike, are you seeing any change in terms of their preferences for new bikes versus used bikes?
Jochen Zeitz: Well, the Riding Academy in the first quarter was down, and that was purely weather-related, because a lot of the Riding Academy initiatives couldn't happen due to bad weather pretty much throughout America. So -- but the Riding Academies overall, the courses are fully booked, and we expect that to continue. And maybe there is an opportunity that the weather stays better throughout the year and longer. Certainly, nobody is going to do Riding Academy in whatever, 100 Fahrenheit. But weather hasn't been benefiting Riding Academy, but when the courses happen -- and bookings for our courses are very strong and continue to be strong throughout the year, if weather permits.
David MacGregor: [Indiscernible] emission rates.
Edel O’Sullivan: Yes. Sorry, I just wanted to add a little bit on that as well as your question on new versus used. So we continue to see a very strong conversion rate coming out of our Riding Academy classes. These are one of the main avenues that we have for new to sport riders to join the Harley-Davidson brand. We find that our new to sport riders are actually well distributed between both new and used. Obviously, used is a bigger component overall. But they are both in new and used. And it is also true that many of those new to sport riders are entering across the full gamut of our motorcycles, so not necessarily just on smaller CC or lower CC motorcycles, but also on some of our broader or larger motorcycles. So it is an excellent feeder, and we do see conversion of earnings to sport riders into both new and used motorcycles across the full gamut of CCs all the way up into our touring range.
Operator: Our next question comes from Jaime Katz from Morningstar. Please go ahead. Your line is open.
Jaime Katz: Hi, good morning. I guess, I'd be interested to hear, given the suspensions you had both last year and this year, if there are any particular protocols you guys have put into place to ensure the quality of the products from the suppliers that you're dealing with. And then if you could, could you clarify whether or not EV is really back on track with the start-up of the Del Mar to ship at the cadence that was previously expected? Thanks.
Jochen Zeitz: Yes. I mean we have a top-notch quality control in place. The issue that we've seen last year and this year are not related, first of all, and they were from a Tier 2 supplier, which is pretty much, quality-wise, supervised by our Tier 1 supplier. So while we have overall quality measures in place and have a Chief Quality Officer as well and very clear mechanisms of how we control quality through -- during production in particular, and thereafter, obviously, with product in the field, we cannot control every single component that is being delivered from Tier 2 suppliers to Tier 1 suppliers. There is some level of control that needs to be provided by the Tier 2 supplier themselves, obviously, and then our Tier 1 supplier as well that are working on using those components into their systems. So -- and the 2, as I mentioned, these 2 aspects were not related, and we treat that as a quality issue. And through the control that we had, we were -- we found out that there was an issue through our Tier 2 and Tier 1 supplier. So that's as much as I can say. And then...
Karim Donnez: Good morning, Jamie. So for EV back on track, well, I guess we got a bit delayed on the start of production for the Del Mar. But we're happy to report that the first bikes actually were produced yesterday. So now we have the ramp-up upcoming in August. So we will be back on track with the Del Mar very soon now.
Operator: Our next question comes from Brandon Rollé from D.A. Davidson. Please go ahead. Your line is open.
Brandon Rollé: Good morning. Thank you for taking my questions. Just quick question on even mix in the channel. Do you believe, given where dealer inventories are at and maybe a little light in some categories, are you expecting a richer mix of product shifts in the back half of the year?
Edel O’Sullivan: Thank you, Brandon, for your question. I think that our main objective is exactly as you pointed out, in those timelines where we have a lower coverage or where we have customers awaiting their bikes to make sure that we are prioritizing those. I'm sure you have heard -- many of you have heard through our dealers that these -- that many of them are anniversary bikes are still expected in the network as well as the increased interest in our Trike lineup, particularly on the back of the launch this year, which has been incredibly successful. So we are trying to be very precise to the question on inventory, not only in the overall total levels domestically and internationally, but also the mix of those units, starting by customer orders as well as those families when we have the best combination of demand and the lowest inventory in the network. So I would expect that that will continue to be our priority in the back half of the year, to manage to that inventory coverage on a family level.
Operator: There are no further questions at this time. This concludes today's conference call. Thank you all for joining. You may now disconnect.